Operator: Good morning. My name is Kyle [ph]. I’ll be your conference operator today. At this time, I’d like to welcome everyone to the First Quarter 2011 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. McDaniel, you may begin your conference.
Dennis McDaniel: Hello. This is Dennis McDaniel, Investor Relations Officer for Cincinnati Financial. Thank you for joining us for our first quarter 2011 earnings conference call. Late yesterday, we issued a news release on our results, along with our supplemental financial package and we file our quarterly report on Form 10-Q. To find copies of any of these documents, please visit our investor website, www.cinfin.com/investors. The shortest route to the information is in the far right column via the quarterly results Quick Link. On this call you’ll first hear from Ken Stecher, President and Chief Executive Officer; and Chief Financial Officer, Steve Johnston. After their prepared remarks, investors participating on the call may ask questions. At that time, some responses may be made by others in the room with us, including Chairman, Jack Schiff, Jr.; Executive Vice President, J.F. Scherer; Principal Accounting Officer, Eric Mathews; Chief Investment Officer, Marty Hollenbeck; and Chief Claims Officer, Marty Mullen. First, please note that some of the matters to be discussed today are forward-looking. These forward-looking statements involve certain risks and uncertainties. With respect to these risks and uncertainties, we direct your attention to our news release and our various filings with the SEC. Also, a reconciliation of non-GAAP measures was provided with the news release. Statutory accounting data is prepared in accordance with statutory accounting rules and therefore is not reconciled to GAAP. With that, I’ll turn the call over to Ken.
Ken Stecher: Good morning. And thank you for joining us today to hear more about our first quarter results. Our first quarter was a mix of solid investment performance and premium growth, against disappointing underwriting results. First quarter investment income grew roughly 1%, compared with those a year ago and one quarter ago. Despite a drop in interest income due to the low interest rate environment, generally income grew enough to produce net investment income growth. As we indicated last quarter, it will be a challenge to continue growing investment income as bonds maturing now for 2013 average yield just over 5% for our entire portfolio of bonds and stocks yielded 4.6% during the first quarter. Evaluation of our investment portfolio registered solid gains during the first quarter, as unrealized gains for equity portfolio grew 16% nearly $900 million. Catastrophe loss lowered first quarter 2011 operating income by $0.10 per share more than a year ago. Some improvement in our pricing trends helped keep the overall operating income declined at $0.06 per share. For our commercial lines business modest rate increases upon renewal are being met with less resistance for many smaller policies and we continue to experience steady rates of policy retention. Rate increases for personal lines policies (inaudible) premiums rise 9% and we are seeing modest pricing gains on our access and surplus lines business. Our overall combined ratio was above 100% again this quarter and we’re working to improve the unsatisfying results. As we said at the end of last year, our standard market insurance business for all lines in total other than the workers compensation and homeowner lines and 2010 combined ratio around 95%. We’ll continue to progress on initiatives to keep that core business healthy and on initiatives to return the challenge lines to profitable levels. Our premium growth in business this year emphasizes in deploying additional agencies and enhancing our opportunities to service small business clients and consumers. At the same time, we continue our addition to claims excellence and local associate service and support centered around our agencies. In future quarters, you hear more about our progress on these initiatives. For now, I’ll provide some performance highlights. Our ramped up phase of deploying new agencies in recent years continues to pay off overtime as a relationship with those new agencies matures. Remember, at about three quarters of the agencies appointed by us for more than five years, we rank as a number one or number two insurance company in terms of premium volume. All of our insurance sales continue to experience favorable growth trends. Personal lines had net written premium growth of 12% with new business premiums up 22%. Excess and surplus lines net written premiums grew 38% to $18 million for the quarter with new business premiums up 13%. Term insurance which represents the largest product by volume in our life insurance operation has earned premium growth of 9%. While net written premiums for our largest insurance segment, commercial lines were flat overall, new business premiums were up 8% and renewal premiums were up 2%. Improving exposure level comparative helped to offset modest pricing declines, particularly for larger policies where competition continues to be most intense. We finished the quarter with book value growth of $0.49 up 1.6% per share and we paid a $0.40 cash dividend consistent with our 50 year record of increasing shareholder dividends. In a moment, Steve will provide more perspective on underwriting results and overall performance for the first quarter. But first, I’ll say a few things about our leadership transition announcement earlier this week. As we prepare to move to our new positions and responsibilities, I want to pause and thank you for your interest in and support to Cincinnati Financial over the past three years. I appreciate the diligent efforts the investment community makes to understand and present our story to others. We’ve watched patiently as we’ve strengthened our management team, expanded our operations, developed enhanced processing and pricing tools and provided a clear vision to associates and agents. With that foundation in place, it’s a right time for me to let others bring more youthful energies to full execution of our plans. I was 62 when I took the CEO job three years ago. It’s been a busy and challenging time and it went by quickly, as did my 43 years of service to date. I’m looking forward to having more time for my family and I’m confident that Steve and his team have the ability and drive to overcome challenges and keep the improvements coming. Steve will continue his emphasis on improving our technology and data and the organizational changes he is making will sharpen our focus on profitability. I’ll continue to be available as a mentor and coach and of course, Jack continues to be actively involved in the company and a great advocate for agents. Now, I’ll turn the call over to Steve.
Steve Johnston: Thank you Ken for those kind words and thanks to all of you for joining us today. As Ken mentioned, first quarter financial results were mixed. On the one hand, we produced an underwriting loss for the quarter with the combined ratio of 103.9%. On the other hand, investment income grew, asset values rose, the balance sheet continued to strengthen and shareholder value continue to increase. Our country and the world were heavily impacted by a series of catastrophes during the first quarter. Catastrophe losses contributed 5.5 loss ratio points to our results, including approximately 1.1 points from the Japan earthquake. By comparison, catastrophe losses contributed an unusually low 2.1 points to the first quarter a year ago. For commercial lines, our largest insurance segment, the quarter’s catastrophe loss ratio was 50% higher than the annual average for the past decade and was higher than the annual cat loss ratio for any of those years, so it truly was an unusual quarter. So far in the second quarter, the adverse weather is continuing. We write in many of the areas that have been affected by spring storms. We estimate on a very preliminary basis the second quarter catastrophe losses occur through April 21st, they total between $70 million and $80 million, with the largest single event estimated at approximately $35 million. Since the 21st, it obviously been an active time for catastrophe losses, our hearts go out to everyone who has been affected with personal tragedy, loss of live, at this point it’s too early to put an estimate as to the effect on our financial statements. We use more than one modeling firm to help in estimating our exposure to catastrophe losses, one of them RMS made a much public revision to its model. The new version increase estimated and losses from hurricanes for us and much of the industry. We are currently studying the new model and its impact on our estimates. The expense ratio was 32.8% down 2.8 points from 35.6% for the first quarter of 2010. You may recall that last year we took a $10 million charge for provision to continued liabilities with 1.4 points to the expense ratio. Property casualty reserves for prior action years developed favorably benefiting the first quarter bond ratio by 7.9 points that compares with 5.6 points of favorable development for the first quarter of 2010 and 10.3 points for full year 2010. Our reserving velocity remains unchanged. We have a very consistent approach targeting total reserves in upper half of the actual range. The change in IBNR reserves added 4.4.points to the (inaudible) loss ratio compared with 2.0 points for full year 2010. As Ken mentioned, our diversified approach to investments produced solid results again this quarter, pre-tax investment income increased by approximately 1.3% to $131 million during the quarter. Both our equity portfolio and our bond portfolio produced unrealized gains after tax for the quarter totaling $85 million. Liquidity, the balance sheet and our overall financial condition continue to strengthen, keeping us in a solid position to grow profitably. Statutory surplus for the property casualty insurance group grew by $56 million during the quarter to just over $3.8 billion and at the holding company level we continue to have over $1 billion in cash and marketable securities. The contributions to book value per share for the quarter are as follows. Property casualty underwriting losses reduce the value by $0.12. Life insurance operations added $0.04, investment income other than life insurance and reduced by non-insurance items contributed $0.43. The change in unrealized plus realized capital gains from the fixed income portfolio increased book value per share by $0.05. The change in unrealized plus realized gains from the equity portfolio provided growth of $0.49 and we pay to our shareholders $0.40 per share in dividend. Totaling it all up, book value increased by $0.49 during the first quarter to $31.40 per share, adding the $0.40 per share dividend our value creation ratio for the quarter was 2.9%. As Ken passes the baton to me, I’m grateful to find our company in very good shape with a solid foundation that our team can build on. I believe you’re going to find our new CFO, Mike Sewell to be topnotch, his 25 years of experience and knowledge of Cincinnati Financial will be a big benefit to us. You’ll hear from Mike on our second quarter call. We all excited about the opportunity to improve our company both by taking the progress already achieved and applying it across our company and by finding new ways to bring value to the forefront. That concludes my prepared comments and I’ll turn it back over to Ken.
Ken Stecher: Thanks Steve. Before we move onto questions, I’d like to point out that I remain confident in our prospects for the future, although the economic in insurance market conditions since mid 2008 have been quite challenging. Our company’s financial strength, the proven value of our agency relationships and our ability to provide superior service, in addition to our results to grow profitably, will drive long-term value for shareholders. We appreciate the opportunity to address what’s on your mind about Cincinnati Financial. Please remember Jack Schiff, Jr.; J.F. Scherer; Eric Mathews, Marty Mullen; and Marty Hollenbeck are here with Steve and me, and we’re all available to respond. Kyle [ph], we’re ready for you to open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Caroline Cameron. Your line is open.
Caroline Cameron – Macquarie Research Equities: And actually my first question is on the $70 to $80 million of cat losses you mentioned in the second quarter. Are you able to break that on in the commercial lines and personal lines basis?
Steve Johnston: Caroline, this is Steve. We’re not able to do that at this point. I might ask Marty Mullen if he has some additional commentary, I do not believe we have a split between personal and commercial?
Marty Mullen: No. That’s correct. It’s a too early to tell that split but it’s mainly driven by Hail claims in Kansas and North Carolina in the early part of April.
Caroline Cameron – Macquarie Research Equities: Okay. And this $35 million, the largest loss was $35 million, are you able to say what date that was in?
Marty Mullen: Again, that’s driven by Hail events in the area of just only North Carolina, Raleigh area as well as Kansas.
Caroline Cameron – Macquarie Research Equities: Okay. And then, just heard about market conditions, it seems like some of your competitors are actually seeing some improved stabilization in the market and I was just wondering what you think was driving this and what it’s going to take to get the middle market and large account business to be more competitive?
J.F. Scherer: This is J.F. Scherer. We are seeing now sub $10,000 premium accounts the opportunity to fill summer rates and we’re getting that and we expect that we’ll be able to continue this. I might add does that’s true for both the excess and surplus lines side, as well as the standard property and casual side. I can’t speak for the other companies but I will tell you that excess of $25,000 premium accounts. We are still seeing a quite a bit of shopping if you will in the marketplace, there are tremendous amount of activity like carrier in those lines. And so we are not seeing at that premium level, a firming of the market that perhaps some companies are seeing. We’re pretty close to it and I think we understand our marketplace but it’s still pretty competitive in those areas.
Caroline Cameron – Macquarie Research Equities: Okay. And then just quickly, if you just give us an update on capital management and your views there, we’ve seen a couple of deals over the past year more recently. I was just hoping you could give us an update on your thoughts on M&A, the dividend and just other forms of capital management and that’s it? Thank you.
Ken Stecher: On the life insurance side, if there were something became available that was appropriately priced, that maybe something we would consider. As far as the dividend, our fifty year history of increasing dividend is something that we are most proud of. Right now we have strong enough capital to maintain that and we fully understand that you are operating earnings have to exceed that dividend on a consistent basis for that policy to be maintained over the long-term. A couple of years recently we did not muster – we did earned the dividend. This year, obviously it’s too soon to say but it’s something that we are going to do everything that we can to make sure we can maintain that dividend policy going forward.
Caroline Cameron – Macquarie Research Equities: Okay. Great. That’s very helpful. Thank you.
Operator: Your next question comes from Josh Shanker from Deutsche Banc. Your line is open.
Josh Shanker – Deutsche Bank: Thank you. Good morning.
Jack Schiff: Good morning, Josh. In the prepared remarks for the press release you pointed out that commercial raves are still declining by low single-digit percentages, given the changes you have made in the workers comp, is that included or excluded in those numbers and what that mean for combined ratio in commercial lines going forward?
Steve Johnston: This is Steve. It does include workers compensation. I think we are getting increases in workers compensation. The rate changes for the total segment are getting closer to zero and we are approaching our loss ratio situation with a multitude of initiatives, but we recognize the rate needs to be part of it as well.
Josh Shanker – Deutsche Bank: So would you expect the – your combined ratio in commercial insurance to deteriorate a little further in the near future?
Steve Johnston: We really don’t provide guidance on our forecast of that, I think that it involves an awful lot of variables, but we are working through a variety of initiatives to reduce our accident year loss ratios.
Josh Shanker – Deutsche Bank: Do you want to elaborate on that?
Steve Johnston: Well, I can elaborate – particularly on the workers compensation, I think JF can help me out there. We are working on it in terms of loss control, underwriting, claims, expense, initiatives, really every area in the company is cognizant of the fact that we need to reduce the actual year loss ratios and we are all working towards that.
Josh Shanker – Deutsche Bank: And I noticed there was a decent drop in the expense ratio this quarter. In terms of the discussion of things that you are doing that are both, perhaps those are some things that are controlling the loss ratio and the expense ratio?
Steve Johnston: Yes we work hard on that expense ratio. This is Steve, again. Do keep in mind that last year, the 35.6 that we posted was increased by 1.4 points by a one-time charge we took for a contingent liability but the expense ratio was down 2.8 points. So we had another 1.4 points of savings and we are working hard to keep expenses under control and to be frugal.
Josh Shanker – Deutsche Bank: Okay. Thank you very much.
Steve Johnston: Thank you, Josh.
Operator: (Operator Instructions) Your next question comes from the line of Mark Dwelle from RBC Capital Markets. Your line is open.
Mark Dwelle – RBC Capital Markets: Good morning. A couple of questions I was just about to ask were just asked, but looking at personal lines, here, you had commented that you were seeing some rate increases there, in the past you provided kind of the ranges of how homeowners and auto had progressed. I was wondering if you could do that again this time:
Steve Johnston: Sure, Mark. This is Steve again. We have taken upper single-digit rate increases on home, lower single digit increases on auto and we have similar plans for this third and fourth quarter to take changes in those magnitudes again. At the same time, we are also providing more precision in that pricing looks – we think much larger increases going to the policies that we still have the highest capacity for loss.
Mark Dwelle – RBC Capital Markets: And there were a couple of different technology initiatives associated with the personal lines, is that all fully rolled out now?
Steve Johnston: I think that technology in this day and age is never fully rolled out. We hope to continue to always improve. But we do feel from talking to agents, that as we’ve rolled out the new diamond product in the various technological capabilities that brings with it, that we are very much in the game in terms of our technology, right in the middle of the pack. The agents I talked to tell me that technology is not an issue as regards to Cincinnati Financial.
Mark Dwelle – RBC Capital Markets: Okay. You mentioned in your prepared comments about the RMS modeling and so forth. Could you elaborate a little bit more detail in terms of how you view that in the context of all your overall reinsurance buying and historically you have not been an enormous buyer, but are you contemplating any changes there?
Steve Johnston: Sure, Mark. Good question. I think at any time we look at more than one model, we look at our own data. We look at our operating plan, and we consider everything. And certainly to the extent that the RMS model now models greater losses for hurricane England we are going to take that as a consideration in everything we do in terms of pricing reinsurance buying and so forth. But I do want to make sure to point out, that it is just one model and we do look at a variety of models and we look at a variety of factors, but will take into consideration.
Mark Dwelle – RBC Capital Markets: And states such as Florida, for example, while I know some years ago you made a fairly conscious decision to move distinct pretty off the coast, does that change your thinking in terms of just even remaining an active presence in states like that, or would you really more address any kind of concerns that the risk models might present by just using reinsurance as a tactic?
Steve Johnston: Another good question, Mark. This is Steve again and I will address that. The action that we took in Florida has really benefited and paid off in terms of the expected losses and the expected losses for our reinsurers has allowed us to manage our reinsurance cost from what I can tell, again we are still assessing it, but in terms of the new RMS model it continues to show that the work we did in Florida was effective. And so we – we do not have plans to move out of Florida, certainly the focus is more on casualty driven accounts. We have a lot of hard work to reduce the property exposure there and we don’t to go backwards in that regard, but we will continue to do business in Florida.
Mark Dwelle – RBC Capital Markets: Okay. I appreciate the answers. Thanks.
Steve Johnston: Thank you, Mark.
Operator: Your next question comes from the line of Ian Gutterman from Adage Capital. Your line is open.
Ian Gutterman – Adage Capital: Hi. I missed a little bit of the call so forgive me if this was clarified, but did you say the 35 million Q2 event was the Carolina event, was that correct?
Marty Hollenbeck: This is Marty, Ian, that’s correct. It’s a multitude of (inaudible) but it also involved losses in Kansas, North Carolina and a multitude of states.
Ian Gutterman – Adage Capital: So was the St. Louis event a major event as well or does that get more airtime because they have entered – airport?
Marty Hollenbeck: For us particularly, it’s not such a large event – and that was a different storm altogether.
Ian Gutterman – Adage Capital: Right. That’s right. That’s right. Okay. Great. And just looking through your commercial lines, it looks like the comp loss rates are just starting to get better which I guess is the initiative you have been talking about for the past few quarters. On the other side, it looks like commercial auto combines, the loss ratios are going backwards, I think, can you talk about that?
Steve Johnston: Looking at commercial auto. Okay. This is Steve, Ian and I think we both say about the same thing. I would like to give the line over to JF a little bit – the workers compensation, we do Bill is improving. It is – we think due to a variety of initiatives. I will let JF say a few words about that. In terms of the auto, we feel pretty good about our commercial auto experience. Really, it’s holding up well and it’s going to have some variability by quarter and so forth. But I think our commercial auto experience is not one that we are overly concerned about at this time.
Ian Gutterman – Adage Capital: I was just looking – it’s been, this quarter of last, sort of a mid-70s loss ratio ex-development and it was in the 60s most of last year, that’s why I was picking up on – were there some more losses or something that maybe that’s a blip?
Steve Johnston: I don’t think it’s anything of a trend, and, I just think that we had a couple of quarters there are and there's going to be some more along that line.
Analyst: Fair enough and then just, I’ll ask on the personal auto, on the growth, I was just encouraging, I just want to get a little bit more color on where that’s coming from. Is it commercial agents where you are doing more of the personal lines for your commercial clients or is it personalized old agencies or is it more of a new agencies versus the old? So what type of customer is driving that growth?
Ken Stecher: I think certainly we have a good reputation amongst our agencies. And we feel that they do put quality accounts that they may have of commercial line experience with – with us on the personal lines as well but it goes beyond that. We have a very active marketing plan and personalized. So it is much beyond those accounts for which we write the commercial.
Analyst: Okay. And is there anything, I don't know if certain stage that you're doing better or certain ages or certain types of drivers, I want to do – it was a release for us just across the board, everything kind of, up this double digit?
Ken Stecher: The one thing on the personal line side, that we do see as we’ve implemented the new pricing analytics is that the categories that we feel have the least propensity for loss, lower risk categories we are seeing growth there and it’s representing an ever increasing percentage of our overall growth.
Analyst: Okay. So that would be the high and preferred it sounds like.
Ken Stecher: Yeah. It’s not necessarily just the high and preferred because with the new rating algorithms, we look at a multitude of rating variables. And so it's going to go across more spectrums than that but we do think it is those risks with the least propensity for loss.
Analyst: Algorithm. That is very helpful.
J.F. Scherer: This is J.F. I would just add a little bit to your question about the number of agencies. Over the last four and half years, we have actually appointed 238 agencies that were previously only representing us for commercial lines. That has added significantly, we have added another 212 ages these as we have appointed agencies in the general course of appointments over the same period of time. So we have gotten quite a bit of the boost from appointing those previously commercial lines on the agencies.
Ken Stecher: That is actually very helpful and maybe that prompts one more take on it. Is it really the expansion in the agencies you're getting from on the shelf to a low market share or are you having success going from may be before you were 10 in auto and with aging, you're getting up into that top three?
Ken Stecher: I think as Steve mentioned little bit earlier, the improvement of our automation of our diamond system has made a significant impact for us early to grow in our previously appointed agencies and then those agencies, that here before did not want to do business with us in personal lines because we did not have the automation of billing capabilities. So we would have every expectation but yet we will grow into a prominent player in the agencies and personal lines.
Analyst: So it sounds like there is so lot of runway down for personal and auto to keep growing.
Ken Stecher: (inaudible) run rate to grow there.
Analyst: Great. Thank you. That is all I have. I appreciate it.
Ken Stecher: Thank you.
Operator: Your next question comes from the line of Vincent D'Agostino from Stiefel Nicholas. Your line is open.
Vincent D'Agostino – Stiefel Nicholas: Thanks for taking my question. I have just one, it looks there is about reporting of agencies appointed in the quarter. So just following up on that discussion. Were those in the newer states or the older legacy states and then I think last year, your target was 65 agencies but 90 were added. Is there a target you got to share for 2011? Thank you.
Ken Stecher: Sure. The target of 2011 is 120 agencies. We have a bit of a mix. 92 of those agencies were projected and what we would call establish dates, 28 in almost entirely with the exception of Connecticut, Western states, we have opened here in the last four or five years. The new appointments that we have made so far this year have been across the country, we have none in any particular area. We had four in New York. We opened in Connecticut and downstate New York. So we appointed a few more there in New York in terms of very large numbers that is mainly across the board and as I mentioned, 92 will be what we consider establish states and the rest have that.
Vincent D'Agostino – Stiefel Nicholas: Great. Thanks. That is all I had.
Ken Stecher: Thank you.
Operator: (Operator) Your next question comes from a line of Brad Nelson [ph] from Carl Weeden [ph]. Your line is open.
Brad Nelson – Carl Weeden: I have a little note here that says roses are red, violets are blue, Macy INF continue to bless all of you and thank you for all the effort all of you do to help shareholders and their policyholders and I wanted to know that I personally appreciate all of you in the efforts you do and how you send people to college to get master's degrees and how you empower your people to go higher. It's a great gift to see that in America continue and thank you.
Ken Stecher: Thanks Brad. You heard today. We’ve got a lot of strong initiatives in place. I’m a little impatient that things haven't improved a little bit quicker but the weather has slowed things down, the economy is starting to pick up a little bit but as I said in my prepared comments, I remain very confident and we definitely appreciate your investment in our company.
Brad Nelson – Carl Weeden: You're welcome. Thank you.
Ken Stecher: You're welcome.
Operator: There are no further questions at this time.
Ken Stecher: Thank you for joining us today. We hope to see some of you at our annual shareholders meeting on April 30 at the Cincinnati Art Museum and others are welcomed to listen to our webcast of the meeting. We look forward to speaking with you again on the second quarter call. Have a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.